Operator: Good day and welcome to the Preferred Bank Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please do note, that this event is being recorded. I would now like to turn the conference over to Jeffrey Haas of Financial Profiles. Please go ahead.
Jeffrey Haas: Thank you, Joe. Hello, everyone, and thank you for joining us to discuss Preferred Bank's financial results for the second quarter ended June 30, 2022. With me today from management are Chairman and CEO, Li Yu; President and Chief Operating Officer, Wellington Chen; Chief Financial Officer, Edward Czajka; Chief Credit Officer, Nick Pi; and Deputy Chief Operating Officer, Johnny Hsu. Management will provide a brief summary of the results and then we will open up the call to your questions. During the course of this conference call, statements made by management may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks, uncertainties, and other factors relating to Preferred Bank's operations and business environment, all of which are difficult to predict and many of which are beyond the control of Preferred Bank. For a detailed description of these risks and uncertainties, please refer to the SEC required documents the bank files with the Federal Deposit Insurance Corporation or FDIC. If any of these uncertainties materialize or any of these assumptions prove incorrect, Preferred Bank's results could differ materially from its expectations as set forth in these statements. Preferred Bank assumes no obligation to update such forward-looking statements. At this time, I’d like to turn the call over to Mr. Li Yu. Please go ahead.
Li Yu: Thank you very much. Good morning, ladies and gentlemen. Thank you for attending our earnings conference call. I'm very pleased to report that the second quarter of the year was a record quarter in net interest income, net income, earnings per share, loan and deposits. [Indiscernible] credit quality and efficiency ratio was stable. Net income for the quarter was $28 million or $1.87 a share. For the six months, it was $54 million and $3.61 a share. We are the beneficiary of recent [interest] [ph] rate hikes. And we believe that we'll continue to be benefited by the future rate increases. Highlight of the quarter is the loan growth, which grew $329 million or 28.6% annualized. For the first half of the year, the loan growth was 22.4% annualized. We’ve analyzed the outsized loan growth in this quarter, and we have found that it was a combination of two factors. One is reduced pay-off, pay-down activities. Another reason is obviously that we had a strong origination activities during the quarter. In fact, during the quarter, April and May was extraordinarily strong. However, activities tapered off beginning June. As of today, the pipeline looks like that it will go back to the level of 2021. Deposit growth was $98 million or 7.3% for the quarter. During the quarter, we have seen that competition for deposits has intensified, mainly led by the major banks. And we believe the deposit costs will continue to increase, in fact, accelerate in the remainder of the year. This is also true because our customers are basically businessmen and a savvy investors, they are very good with their money. With recession looming in the air, our focus is also on credit quality. We have already began to deep dive in our portfolio. And so far, we have noted not – did not note any deteriorations. We're currently in the third week of our regulatory examination, and I'm hopeful – I hope that nothing important will come up through this examination. The non-performing assets increased mainly due to that we paid-off senior loans on the property before close. Today, this property will carry on [above] [ph] roughly 50% below appraisal value. All other areas of the credit quality such as classified assets and past due accounts all seem to have improved from previous year. For the quarter, we have provided $2.9 million of provision that was mainly related to the large loan production we have. As of June 30, the bank's total loan portfolio consists of 13% fixed rate loans and 87% floating rate loans. Most of these floating rate loans do have [floors] [ph]. On June 30, 76% of our total loan portfolio is now fully floating with the net rate changes. And with the anticipated July Federal Reserve action, we believe at the end of June, July, there will be only all but 2% or 3% of our total loan portfoliosis not floating. With this, we believe our interest income for the remainder of the year will increase. We also noted that deposit costs, will definitely increase. We do believe the increase in revenue will be more than enough to offset the cost increases. Our $32 million share repurchase program is progressing. As of today, we have completed $24 million of the $32 million that was set aside to repurchase. We hope the whole program will be completed in the third quarter.  Thank you very much. I'm now ready for your questions.
Operator: [Operator Instructions] Our first question will come from Matthew Clark with Piper Sandler. Please go ahead, sir.
Matthew Clark: Hey, good morning, gentlemen. Maybe starting on the margin, do you happen to know the average margin in the month of June? And is it fair to assume that the margin expansion in 3Q will be greater than 2Q now that you're fully off the floors? And you get the benefit of the new loans in the new pipeline at higher interest rates?
Edward Czajka: Well, the first one is easy to answer, the second one, not so much, Matthew, but yes, the June margin came in significant – I shouldn't say significantly, excuse me, it did come in higher than the average for the quarter. You're certainly correct on that one, about 20 basis points higher than the quarter. As for Q3, we still expect margin expansion, as Mr. Yu alluded to in his comments, read through that interest income increasing at a faster pace than interest expense. So, we certainly expect some margin expansion in Q3 likely will not be to the extent we had in Q2, but certainly it will be expanding.
Li Yu: Matthew, just add on mathematically [Q3’s] [ph] leverage meaning loan increases versus deposit increase, it looks slightly that will be closed in this particular quarter. So that maybe [indiscernible] for the leverage factor should be considered.
Matthew Clark: Okay, great. And then, do you happen to have the spot rate on interest bearing deposits at the end of June as well?
Edward Czajka: I do not, Matthew. I apologize. That was – I was sitting here getting ready for this meeting realizing that was the one schedule I did not have in front of me, the other information I knew from memory. So, I apologize.
Matthew Clark: Okay. Okay, we can follow-up. And then on non-interest expense in terms of the run rate, what's your expectation for the back half of the year?
Edward Czajka: Well, obviously, our run rate for Q2 was a little higher than I had previously mentioned, but I would expect Q3 to be similar to Q2. The wildcard there is going to be OREO expenses. You saw during the quarter, we had just under 500,000 in OREO expense to the extent that does not repeat, you'll see it down slightly, but we still have pressures. Salary pressures are still ongoing. Obviously, we're in a very inflationary environment. I don't have to tell lot of people that fortunately lease costs are fixed etcetera, etcetera, but things will continue to go up as we continue to operate in this environment. But we were pleased to see even though we went over 17 on the expense side that we still landed at 29% on the efficiency ratio.
Matthew Clark: Yes. Okay. Thank you.
Operator: Our next question will come from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner: Good morning. Just wanted to follow-up a little bit on the margin questions. And even in an environment of presumably some slower pace of loan growth, your interest income is going to, I would imagine go up pretty significantly just from the rate side. So, Ed and Li as you talk about the outlook for NIM expansion for third quarter when you get the full benefit of the June hike and most of a quarter's worth of a presumed 75 basis point hike next week is surprising to me that it would – that combination doesn't get a little better expansion in 3Q than 2Q. So, could you maybe just give us some sense of, kind of what your deposit rates look like for right now in terms of CDs or other deposits because that seems to imply a pretty significantly elevated deposit beta, kind of the second quarter into a [Multiple Speakers]?
Li Yu: Okay. First question to be answered is that during the Q2 period time, there's two rate increases in May in June, okay. And that because that many of our loans was operating lower than [four] [ph] those times. So, not every loan was affected. And especially, I mean, [with the June increase] [ph] is affecting less than one month, okay. As I reported to you earlier now, 76% of our total loan portfolio is now fully floating. We're expecting that these loans will be having an increase that is not showing in the second quarter. So, likely the third quarter expansion will be pretty good, but as I said also earlier, deposit is something that I will control it all the time. The reason is that you see major banks, for instance, Citibank and HSBC, their deposits probably is always the highest in a nation. If you look at the [positive] [ph] records, and Citibank is offering deposit account effectively paying people 3% [indiscernible]. And Goldman Sachs Markets Bank is having TCDs at 2% was upside kicker, adjustments maybe. So with these situation in the picture, that every bank I expect will see the deposit cost increases. Water always seeks its lowest level, and it's a matter each institution will be different in terms of the speed in getting to that particular level. And as I also reported, we are a [businessman] [ph]. Our investors profile is different than many of the banks, and so many consumers. So, we're expecting us to a little bit faster pace in our cost adjustments.
Edward Czajka: And Gary, on the CD side, I think you asked one-year, we're offering [118] [ph] right now on one-year CDs. To add on to Mr. Yu’s point, obviously, we know the CD portfolio and how that rolls off and rolls back on, but it's that large money market interest bearing transaction account portfolio where there are some larger clients in there. And as Mr. Yu said, they do manage their money very closely. So, we have to keep up.
Li Yu: To illustrate that, beginning in April, we have customers just break their CDs, pay the penalty, put the money in treasure paper. Those are making 2%. And we also – now that we see customer all over the place break their OTCD place for cleaning those because OTCD’s waiting is very low. They are holding it in account waiting to reinvest when the rate changes. Some of them are reinvested, many of them have not. So, these are the actions. It is tough to quantify that, I mean, at the early stage of the quarter. I don't try to be invasive, but that's the fact.
Operator: Our next question will come from Andrew Terrell with Stephens. Please go ahead.
Andrew Terrell: Hey, good afternoon or good morning.
Li Yu : Hi, Andrew.
Andrew Terrell: And maybe just ask the margin question, just in a little different fashion. You gave us the month of June was about 20 basis points higher than 2Q average, which would I guess put us just a little bit south of 4% on the net interest margin in June. Do you think in 3Q 2022 for the full quarter average, you still see expansion from that just shy of 4% level?
Edward Czajka: Oh, absolutely. Yes. No, there's no question. I didn't want to be misunderstood on the earlier comment. I just wanted to temper the fact that we will see margin expansion, but will we see 30 basis points of margin expansion? I don't know. Not necessarily expecting that much, but it will be good.
Andrew Terrell: Yes. Okay. I guess for Mr. Yu, kind of a bigger picture question. I guess with even more, kind of rate hikes coming through, you're already putting up really solid profitability, I would think you'll become even more profitable, capital is already in a solid spot. So, I guess my question is more on the reinvestment side. Where are you focused on making investments today? And then are there any investments that may have been kind of longer term that you're now kind of more comfortable focusing on and spending on just given the improved rate backdrop and the improved profitability profile?
Li Yu: We actually I think is consciously stepping forward, okay. First of all, that we know we're accumulating capital in the faster pace, but in the meantime, I have to worry about the economy, whether when the recession is coming or already here or how long the recession, how severe it is. In this game, can I afford to make mistakes. So, likely, we're going to be cautious holding the capital before we commit to it. When we are ready to do it is obviously dividend will increase. And we will seek obviously additional buyback. And we also probably would put some of our money in securities. I hope the prices is much more attractive. So, these are the areas that we would do, okay?
Andrew Terrell: Okay. That's helpful. I appreciate it. And then another one for me, kind of on rate sensitivity. We've heard some other institutions talk about, kind of tempering especially asset sensitive institutions, talking about tempering their rate sensitivity, kind of as we progress through the cycle, is that something just given how asset sensitive you are that you would consider doing as we kind of approach, I guess a much higher rate cycle?
Edward Czajka: Andrew, can I ask how – you just talked about rate tempering, can you elaborate on what that means?
Andrew Terrell: Yes. I mean, I think things are doing it in, kind of a variety of fashions, but just trying to – I would assume mainly just the swaps, but just tempering rate sensitivity with that lever?
Li Yu: Well, obviously, when we get in this later stage of the increase, we would think about our pricing level in different manners, okay? And we will – so I would certainly adjust our [indiscernible] to make it more market competitive. We may want to consider to hold up more fixed rate loans by that time, but all this is we have to just be careful every month, every week, every month and going forward. And we know that by the end of this year that we need to really take it seriously about how to reposition our product portfolio.
Andrew Terrell: Okay, great. Thank you for taking my questions. I appreciate it.
Operator: Our next question will come from Steve Moss of B. Riley Securities. Please go ahead.
Steve Moss: Good morning. Maybe just one last question on liabilities repricing here. It sounds like obviously you're seeing changes in customer behavior. Just wondering how – what's the duration of securities of the CD book these days, kind of sounds like it's probably shortened?
Edward Czajka: I believe it's between 5 months and 6 months right now, Steve.
Steve Moss: Okay. And then – that's helpful. And then in terms of just on the loan pipeline here, you guys had a great quarter of loan growth. Do we see some of that carryover here into the third quarter before maybe taping off some more typical levels? Just kind of you'd get a feel for near term trends?
Li Yu: Why don’t you answer that first [indiscernible].
Nick Pi: We look at it and second quarter was extraordinary and I think that our pipeline continues to be quite healthy, but it will not be [indiscernible] the second quarter. It will probably tapper down to I would say, as Mr. Yu mentioned earlier in the 2021 level.
Steve Moss: Okay. Great. And then just kind of curious on loan pricing, where are you guys following on new loan [indiscernible]?
Li Yu: [Indiscernible] with the floor, okay? Loan pricing would be anywhere between find [indiscernible] on an order. I mean, that's the most happening in our range, okay? And usually the floor will be the starting entry rate of the [month] [ph].
Steve Moss: Okay, great. And then in terms of just kind of – I hear Mr. You on terms of a more concerned about the reserve and – or more concerned about the economic outlook. So, how do we think – how are you guys thinking about the reserve? What's the – are you going to be at – do you expect to add more qualitative factors maybe to the reserve as we go forward or just kind of provision expense probably tracks loan growth?
Li Yu: I will let Nick answer that, but I want to tell you, our qualitative number is already conferred to industry, our qualitative factor is probably high.
Nick Pi: Yes. Currently, we are higher than our peer groups at this time. So, to answer your question, Steve, that imagine it was still continuously applying, kind of a cautious posture when reviewing both quantitative and as far as qualitative side and also kind of trying to be a little bit conservative on our exposure supporting the broadcast and also few factors side. Because there's a lot of economy uncertainty lying ahead, so it's kind of a mix kind of indication to the bank for reserve side. So, there's some of the negative things, GDP negative and supply chain disruptions, and freeze up hiring, and improvement rate maybe coming back, we do know. This morning, we have initial client higher than I expected. On the other side, we have good retail sales and we have still [indiscernible] at this time. While we decided it's been dropped a little bit. So, we still pick like cautious, kind of a [pass rate] [ph] this time when we look at the reserve and definitely we are just like Q2, we checked up a little bit on our external economy factors to satisfy a little bit more reserve. Mr. Yu?
Li Yu: Well, thank you. I have nothing more to add.
Steve Moss: Okay. One last one for me. Just on the order property here, just kind of wondering on the status on disposition, I recall being, you guys mentioned the desirable property, is that something could be off to your books in the near future here?
Li Yu: Nick, I like you to answer that. 
Nick Pi: Yes. We are [indiscernible] the title now and we'll work aggressively with the local reputable broker and get the house ready for the marketing. This coming Friday, I believe is officially a well put on market for sale. And we hopefully by Q3 or Q4 [indiscernible] get rid of this OREO property.
Li Yu : By the way, this property is a [luxurious house] [ph] above the 10,000 square foot with on the [indiscernible]. So in general, that's a so-called quite nice labor partner.
Steve Moss : I hear you there. All right. Well, thank you very much. I appreciate it.
Operator: Our next question will come from Tim Coffey with Janney. Please go ahead.
Tim Coffey: Great. Thank you. Thanks for letting me ask some questions. If loan growth is going to revert to say that 2021 level, does that imply a say, low double digit kind of annualized growth rate? 
Li Yu: Yeah, we certainly was guiding 2021 to high-single to low-double, okay? So, hopefully that we can maintain the same level of growth in 2021, which is a low-double-digit [now] [ph].
Tim Coffey: Okay. Okay, great. And then, Ed, what's the appetite for bringing on more broker deposits? So, if you take – maybe that line going all the way back to say the last rate hike, it's been – the balance has been kind of in a narrow range, but this situation seems a bit different right now?
Edward Czajka: Did you hear me chuckle when you mentioned broker deposits, Tim? We have no appetite right now. And that's why I think when you look at Q3 and the deposit growth we did manage to get. We let all the brokered money that matured in Q3 runoff. We didn't replace any of it. We're certainly not prepared to pay 3% for one-year money from the wholesale market.  Obviously, the retail market is not caught up to that. So, it's been a very interesting dynamic to watch, but as of right now, we have no appetite for brokered money that could certainly change in the future, but we obviously have limitations and we want to stay well below those limitations anyway.
Tim Coffey: Okay, understood. Those were my questions. Thank you very much.
Li Yu: Thank you.
Operator: This will conclude our question-and-answer session. I would now like to turn the conference back over to Mr. Li Yu for any closing remarks.
Li Yu: Thank you very much. As usual we will stay on the phone and if you have any further questions, please call us back. Thank you for your attention. Bye, bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.